Operator: Welcome to the Brookfield Homes Corporation Conference Call and Webcast to present the company’s first quarter 2009 results to shareholders. (Operator Instructions). At this time, I would like to turn the conference over to Mr. Ian Cockwell, President and Chief Executive Officer. Please go ahead.
Ian Cockwell: Good afternoon ladies and gentlemen and thank you for joining us today for the Brookfield Homes Corporation first quarter conference call. Before we continue, please note that in talking about our financial performance and responding to questions, we may make forward-looking statements. Forward-looking statements are subject to known and unknown risks and uncertainties and results may differ materially. For further information on such factors or risks, I would encourage you to see Brookfield Homes with the SEC files and the full text relating to forward-looking statements in our Form 10-K and 10-Qs, which are posted on our website. We have also posted a supplementary information package on the website under the Investor Relations section, under reports and presentation. It provides detail of operations and other key measures of performance. Joining me for the call today are Craig Laurie, our Chief Financial Officer and Linda Northwood, our Director of Investor Relations. I will start today's agenda and then turn the call over to Craig who will review our performance for the third quarter. While some measured improvement occurred during March and April in home sales, the North American home building industry continues to face a number of challenges. House foreclosures continued to increase for-sale inventories and of course the sharp decline in new home sales. Improved affordability has been offset by the disruption in the credit market and the uncertain economic outlook has led to higher unemployment and continued weak consumer confidence, a critical factor for home sales. Even though home sales decreased in the first quarter of 2009, we are seeing increased traffic as we host home-buying seminar, providing practical steps, financial data to encourage the purchase of a new home. In addition we are encouraging home buyers, by providing behind the wall building information on Brookfield’s building techniques and materials that are used behind the walls and the floors and the above ceilings. Turning to our land inventory, we continue to pursue land acquisition opportunities in the current distressed market environment. During the quarter, we acquired 1800 lots at a foreclosure sale in Riverside County for $17 million. We continue to focus on limiting capital at risk and maintaining control of un-entitled land assets through option contracts. Option contracts, the purchase of land, permit us to control future launch for an extended period of time. To-date we have been successful in renegotiating a number of option contracts, extending terms and reducing option payments. We also continually evaluate whether value is being added before addition capital is invested in auctioned assets for the development of land. More and more land projects are finding their way into the hands of lenders to provide with the development financing and we are being approached to manage and assist in monetizing the land positions they now control. I will now like to turn the call over to Craig who will discuss our financial performance for the first quarter ended March 31, 2009.
Craig Laurie: Thank you Ian, and good afternoon. For the first quarter ended March 31, 2009, our net loss was $10 million or $0.39 per share, compared to a net loss of $12 million for the comparable period in 2008. Contributing to the loss were impairments of $4 million on our housing and land inventory, and $12 million on investments in housing land joint-ventures. This compares to impairment charges for the first quarter of 2008 on our housing and land inventory of $6 million. Housing revenue for the first quarter ended March 31, 2009, was $35 million compared to $66 million during the first quarter of 2008. The company's average selling price was $483,000 compared to $571,000 during the same period last year. The decrease in housing revenue is primarily due to 46 fewer home closings during the first quarter of 2009, when compared to the first quarter of 2008. The company's gross margin on housing during the first quarter of 2009 was 10%, which is 3% lower than the gross margin on housing recorded in the fourth quarter of 2008. Turning to our unit activity, the company currently sells some 30 active communities compared to 34 active communities in the first quarter of 2008. From these communities, the company closed 74 homes for the first quarter of 2009 compared to 120 home closings during the same period in 2008. At December 31, 2007, the company's housing and land inventory included 477 completed homes, which gave rise to higher home closings during the first quarter of 2008, when compared to the same period in 2009. During the first quarter of 2009, we recorded revenue on lot sales of $2 million, which is consistent with the same period in 2008. Our land revenue may vary significantly from period-to- period due to the timing and nature of land sale, as they generally occur on opportunistic basis and such revenues were also affected by local market conditions. Our net new home orders for the first quarter ended March 31, 2008 were 153 units, a decrease of 78 units when compared to the first quarter of 2008. Cancellation rates were 20% for the quarter compared to 31% for the fourth quarter of 2008, but consistent with the first quarter of 2008. In terms of our balance sheet, our housing and land inventory, and our investments in housing and land joint ventures comprised the majority of our assets. These assets increased by $6 million for the first quarter ended March 31, 2009 when compared to December 2008. During the first quarter of 2009, the company entered into an unsecured revolving $25 million acquisition facility with an affiliate of the company, a major stock holder Brookfield Asset Management Inc. The facility was used to acquire 1800 lots at a foreclosure sale in Riverside County. In terms of cash flow and liquidity we generated $25 million of cash flow from operations during the quarter ended March 31, 2009. This cash flow was used to pay down debt. Subsequent to March 31, the company further strengthened its balance sheet with a closure of the $250 million rights offering. The company’s stockholder is fully subscribed for 10 million shares of 8% preferred convertible preferred stock. As a result the company received gross proceeds of $250 million upon issuance of these shares. The proceeds from the rights offering were used for general corporate purposes including repayment on the recently amended credit facility from Brookfield Asset Management, which provides for availability of a $100 million. Assuming the full conversion of the convertible preferred stock, Brookfield Asset Management will own approximately 81.6% of our common stock. With that I'll turn the call back to Ian.
Ian Cockwell: Thank you, Craig. Looking forward to the remainder of 2009, we continue to make progress against the goals we established at the start of the year. Specifically, further strengthening our balance sheet with the completion of the previously mentioned $250 million rights offering to stockholders and also as the company continues to monetize its inventory of 3,000 developed lots. Entitling or advancing the entire limit of auctioned lots was also providing visibility on our future cash-flow. The goal is to entitle 1500 lots during 2009 and 2010, increasing the lots controlled in certain strategic market areas, we have developed a strong reputation and relationship with the community, acquiring the 1800 lots that we mentioned previously in the first quarter of 2009. We have not invested significantly in the development of land and do not expect to do so until there is a meaningful reduction in current inventory. With these factors in mind, we continue to target $120 million of operating cash flow in 2009. We plan to utilize this capital to reduce debt. As Craig mentioned during the first quarter $25 million of operating cash flow was generated and $27 million of project specific debt was repaid. I will now turn the call back to the operator, who will moderate questions.
Operator: (Operator Instructions). Our first question today comes from Alex Barron of the Agency Trading Group. Alex Barron - Agency Trading Group I was wondering, if you could talk a little bit more about the 1800 lots purchase you made. Can you be a little bit more specific what part of Riverside county that was and also were those lots, what stage of development are they in? Are they undeveloped or entitled or finished?
Ian Cockwell: The lots are actually adjacent to Canyon Lake, a project called Audie Murphy, 800 of the lots, you could say are near Blue-top condition and 1,000 of the lots in fact, yes, they would be rolled. Alex Barron - Agency Trading Group Okay and I guess you did your pro forma and looked at this purchase, how are you guys kind of thinking about it in terms of what margin you think you'll get and what kind of sales pace. In other words like, how long is this project going to last? Is it going to be like one big project or several communities?
Ian Cockwell: It will be separate communities and if you are referring that the communities that is, let say 100 units and it's a separate planning areas of approximately 100 units each. Alex Barron - Agency Trading Group Okay. So, you’ll just going to roll it out over a number of years?
Ian Cockwell: And that's when the demand returns to the market. Alex Barron - Agency Trading Group Okay.
Ian Cockwell: Yes, we know Riverside County at the moment. The number of active projects have declined, which is increased the number of sales of the projects, but there are a number of larger projects that have Blue-top, we have finished lots in them. Alex Barron - Agency Trading Group So, I mean roughly like how much extra money is going to take to convert these lots into finished lots eventually?
Ian Cockwell: The 800 lots? Alex Barron - Agency Trading Group Yes.
Ian Cockwell: That's nominal amount. Did you take it to a finish lots, let just take it to a Blue-top lot, right? The finished lot also includes peace and sidewalk, et cetera, right? Alex Barron - Agency Trading Group Okay, but you don't have an estimate that you can share with us?
Ian Cockwell: Normally you can say that to take it from a Blue-top lot to finished lot could be $30,000 including fees. Alex Barron - Agency Trading Group Okay and my last question. On the convertible preferred equity, was Brookfield Asset Management the only one who bought that security or other shareholders as well?
Ian Cockwell: There were other shareholders, but principally it was Brookfield Asset Management. Alex Barron - Agency Trading Group Okay. I thought, I read it said like, that security was not going to be able to be traded. Is that correct?
Ian Cockwell: That's correct. The number of shareholder’s are less than a 100, which is required in order to be traded in the New York Stock Exchange. Alex Barron - Agency Trading Group So, if that's the case, how do people get out of it, when they don't want to own that security any more?
Ian Cockwell: I think they would call the company.
Operator: The next question comes from Joel Locker of FBN Securities.
Joel Locker: Hi guys, just on the preferred, just based on calculations from the last quarter. Would you say that roughly 99% of that was purchased by them?
Ian Cockwell: Right, yes and you’re right.
Joel Locker: Ian, I’m still right, thanks and the gain or loss on the $1.8 million land sales just, so I can break out the gross margins on the homebuilding, or get it down to at least a 10, if you have?
Ian Cockwell: The gain or loss on the home sales?
Joel Locker: No, on the $1.8 million in land sales?
Ian Cockwell: Right, it's nominal.
Joel Locker: I mean do you have.
Ian Cockwell: It was 200,000.
Joel Locker: It was a profit of $200,000?
Ian Cockwell: Right, thanks and you mentioned the improvement in March and April sales. Can you, I guess give a little more detail on that or if you have the order numbers broken down by month in the quarter and if you can let us know what they were in April if possible?
Ian Cockwell: I don't have specifically the figures broken down by month, but I think right across the industry, certainly in the California or in the Washington markets, I think we've seen substantial improvements in sales and that's going from 0.5 sales per week to 0.75 sales per week.
Joel Locker: To .75 and that's more than just seasonal that usually again?
Ian Cockwell: Part of it is seasonal.
Joel Locker: Part of its seasonal and just the last question just on your completed homes, how many do you have outside of your 55 models?
Ian Cockwell: We have 102 models.
Joel Locker: Oh 102 models, I mean.
Ian Cockwell: As of the end of March it just…
Joel Locker: Yes, I mean at the end of March or…
Ian Cockwell: 148.
Joel Locker: We have 148 completed, unsold and you have another 102 models?
Ian Cockwell: In backlog, that's including in backlog, yes.
Joel Locker: Including backlog.
Ian Cockwell: Yes.
Joel Locker: And, just to homes under construction, do you have an overall number for that, just in any stage?
Ian Cockwell: In addition we have 88 homes under construction and then 75 slabs but, that you don’t…
Joel Locker: Right, So 88 in the 148 completed and then 102 models in addition to that, so you have 250 completed or just 148 total?
Ian Cockwell: No, including the model. The models was separate.
Joel Locker: Including the models. All right, thanks a lot. I'll jump back in the queue.
Operator: (Operator Instructions). Our next question comes from Alex Barron of the Agency Trading Group.
Alex Barron: Thanks again. I was wondering, you gave a $12 million impairment charge number that, I think included joint ventures. Can you break that down, how much was for on balance sheet communities versus joint venture impairments?
Craig Laurie: Sure Alex, this is Craig. The number within joint ventures is the 12. The number outside directly under is four, for the total of 16.
Alex Barron: Okay, so, the joint venture impairment was the 12?
Craig Laurie: Yes.
Alex Barron: Okay. All right, and did you guys get any tax refund this quarter?
Craig Laurie: Yes. Alex, again this is Craig. On the cash flow statement, which is in page seven of the supplemental, we had -- income tax recovered during the quarter was $58.8 million.
Alex Barron: 58.8. So the 25 included… the 25 you said included that number then?
Craig Laurie: Yes, that's correct.
Alex Barron: Okay. All right, thanks. I'll get back in the queue.
Operator: We have a follow-up question from Joel Locker of FBN Securities.
Joel Locker: Hi guys. On the selling cost and I guess the SG&A came down on a dollar basis and I was wondering if you could give a further break down of what the selling cost of the $11.7 million or so?
Craig Laurie: This is Craig. Of the $11.7 selling cost were approximately four.
Joel Locker: Approximately four and how does that compare to a year ago?
Craig Laurie: A year ago it was about five.
Joel Locker: A year about 5. And just trying to get any kind of, I guess, description of your average selling price and backlog of what it is down year-over-year or up or whatever it may be? Just try to -- just because of the actual delivery prices is kind of lumpier and all over the place?
Ian Cockwell: It is Cockwell. I would answered that question a little differently I said that our expected gross margin is roughly consistent -- the backlog, the gross margin within the backlog is roughly consistent with the gross margin within the first quarter, may be down slightly, so first quarter was 10%.
Joel Locker: Right. So, but have you guys, I mean, I guess started building a smaller square foot house or I guess you saw whatever $75,000 drop in ASB sequentially on the closings?
Ian Cockwell: Well Joel That is just the market has I guess, looking for a smaller house and that is what we have been doing in, a number of our communities, and say Edenglen Colony Park are smaller homes. And even within Riverside view we've been building our Morningstar community. Our product in the bay area has remained the same product. That hasn't changed.
Joel Locker: Right. That's it. Thanks a lot, guys.
Operator: Next question is from Alex Barron of the Agency Trading Group.
Alex Barron: Yes, thanks. I was wondering if you had a breakdown of your inventory? Typically I think you guys break it down into three categories like housing inventory, land and model homes. Do you have those dollar amounts?
Craig Laurie: Sure, Alex this is…
Ian Cockwell: Craig, go ahead.
Craig Laurie: Alex, that's on page 10 of the supplemental. The housing inventory is $451 million.
Alex Barron: Okay.
Craig Laurie: Right, am I at the end of it? No sorry, I was playing a -- we are joint-ventures. The housing inventory is 549, model homes is 55
Alex Barron: Right.
Craig Laurie: And underdevelopment is 478. Option lots is 97 and then joint-venture debt is negative 28. So the total is 1061.
Alex Barron: Okay. All right! got it. Okay, yeah, thanks a lot.
Operator: There are now no further questions.
Ian Cockwell: Thank you. As there are no further questions, I thank you for your time this afternoon and certainly look forward to your participation on future conference calls. Thank you all.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect your telephones. Thank you for participating and have a pleasant day.